Operator: Good morning, ladies and gentlemen, and welcome to the STEP Energy Services First Quarter of 2023 Conference Call and Webcast. At this time, all lines are in listen-only mode. Following the presentation, we’ll conduct a question-and-answer session. [Operator Instructions] This call is being recorded on Thursday, May the 11th, 2023. I would now like to turn the conference over to Dana Brenner, Senior Advisor, Investor Relations. Please go ahead.
Dana Brenner: Thanks, operator, and good morning, everyone. Welcome to STEP’s first quarter 2023 conference call and webcast. I am pleased to introduce today’s roster of speakers. Steve Glanville, our President and CEO, will give some opening remarks. Klaas Deemter, our CFO, will follow with an overview of the financial highlights before turning it back to Steve for some strategy and outlook focused commentary. We will then host a Q&A session to follow. Before I turn it over to Steve, I would like to remind everyone that this conference call may contain forward-looking statements and other information based on current expectations or results for the company. Certain material factors or assumptions that were applied in drawing conclusions or making projections are reflected in the forward-looking information section of our Q1 2023 MD&A. Several business risks and uncertainties could cause actual results to differ materially from these forward-looking statements and our financial outlook. Please refer to the Risk Factor and Risk Management section of our MD&A for the quarter ended March 31, 2023 for a more complete description of business risks and uncertainties facing STEP. This document is available both on our website and on SEDAR. During this call, we will also refer to several common industry terms and certain non-IFRS measures that are fully described in our MD&A, which again is available on SEDAR and on our website. With that, I will pass the call over to Steve.
Steve Glanville: Thanks Dana, and good morning, everyone. Thank you for joining our first quarter 2023 conference call. As noted, my name is Steve Glanville and I’m the President and CEO of STEP Energy Services. We’ll be providing an overview of our Q1 results. By now, hopefully you’ll had the opportunity to look at them, and you’ll also recall that we released a preliminary operations and financial update on April 10. As you see, our results fell comfortably within those projected ranges. The first quarter was a very good one for our company, and it showed yet again the strength of our overall business model. This time we had an excellent performance from a Canadian fracturing division, as well as both Canadian and U.S. coiled tubing divisions. The culmination of those business units was enough to propel steps consolidated revenue to the second highest level in its history, and up 5% from the fourth quarter of 2022. Recall that in the fourth quarter call, my commentary was similar in that we had a terrific performance from three of our four business units. But it was our U.S. fracturing that put up record revenue, while EMT completions budgets in Canada wound down until the New Year. This time, Canadian fracturing took the ball and ran with it. STEP’s adjusted EBITDA for the quarter was 45.3 million, which is still good in the context of last year’s Q1 results. Overall, as I say frequently, it is difficult in our project focused business to have all groups performing at maximum capability all the time, which is why we believe in the strength of our diverse business offering. We continue to trend along as a company at a strong level overall and keep paying down debt as we go. In fact, since the middle of 2018, STEP has paid down approximately 180 million of net debt and we are now sitting at 0.6x trailing 12-month adjusted EBITDA. For most of the last 25 years, that ratio would have been seen to be under levered in relation to an efficient balance sheet. Thus, our financial position is strong and we expect it to keep building on the strength. I am very proud of the continuing efforts that our client, partners and our STEP professionals give in making these results happen. Before I address our strategy and outlook, I want to turn the call over to Klaas, our CFO for some financial highlights.
Klaas Deemter: Thanks Steve, and good morning, everybody. As noted, the first quarter once again showed the power of diversity in our business model with our Canadian segment as a whole, putting up its best revenue number ever and our U.S. coiled tubing business also setting a new top line record, the second quarter in a row [indiscernible]. As communicated in our April operational and financial update, however, our U.S. fracturing group had a slow start due to some client driven delays that held us back somewhat in the U.S. as a whole. Let’s address our consolidated results first here. But before I start, I want to remind our listeners that all our numbers are in Canadian dollars, unless noted otherwise and also round and positive. [Ph] Consolidated revenue in the quarter was 263 million, the second best in our history after the record set in Q2 of last year. Revenues in Q1 2023 were up roughly 5% from an already strong Q4 2022 level, and up 20% year-over-year. On the midline, our consolidated adjusted EBITDA was $45.3 million, which was in the middle of our $43 million to $48 million guidance that we gave early in April. This number includes a $2.8 million expense for Canadian fluid ends. The $2.8 million includes a one-time $1 million expense to bring the useful lives of the existing fluid ends down to 12 months or less with the remaining $1.8 million encouraged to reflect a quarterly usage. Our previous practice was to capitalize fluid ends, but the increasing intensity of our Canadian completion activity makes it reasonable to make this shift in treatment to expense in 2023. Our U.S. business, as always, expense fluid ends due to the different work scope that we see there.  Our Q1 adjusted EBITDA compares to the approximately 37 million that we reported in Q1 2022 and 48.6 million that we reported in Q4 2022, neither of which recognized Canadian fluid ends in maintenance expense. On the margin side, our Q1 2023 consolidated adjusted margin came in just over 17%, which is down from 19% in Q4 2022, but up from just under 17% a year ago. The delays experienced in our U.S. fracturing operations held back to consolidated margin performance from what would have otherwise been on much stronger level. I’m going to talk a minute here about the geographic regions. The full detail is in our MD&A, so I’m just going to hit a couple of highlights. We’re extremely pleased with STEP’s Canadian operations. The region had a robust first quarter in both fracturing and coiled tubing, leading to its best ever quarterly revenue performance. Canadian revenue of 174 million, was up 52% from Q4, and up 19% from last year in Q1. For context, the CAOEC reports that the Canadian building rig counts in Q1 was 12% higher year-over-year. So we performed quite a bit better than this benchmark. Favorable weather conditions and client alignment resulted in the solid utilization in both service lines. STEP’s four large fracturing crews operated primarily in the gas and condensate rich areas of the Montney. While our smaller low-pressure crew was active in the oil rich Cardium and Viking formations, driving near record frac revenue for the quarter. The extended cold weather into late March provided a longer operating cycle for STEP’s nine coiled tubing units with the service line recognizing its best top line performance since the third quarter of 2018. Note that we added a ninth coiled tubing unit in Canada in response to strong customer demand, and we had a full quarter’s worth of contribution from these units in Q1. In line with the strong operating performance, Canadian segment produced strong adjusted EBITDA of 44.8 million in the quarter, a margin of 25.7% comparing to 20.5 in Q4 2022 and 21.7 a year ago, stronger industry conditions and better pricing versus the year ago explain the margin growth. Note that revenues are roughly split 80% fractioning and 20% coiled tubing in Canada, essentially unchanged year-over-year. Our U.S. operations saw mixed results in the first quarter. Coiled tubing had continued its trend of sequentially quarterly increases leading to record top line performance, and a strong demand from leading public E&Ps across all basins for our industry leading coiled tubing capabilities. Revenues was 39.7 million in U.S. coiled tubing, up 2% sequentially and up 72% year-over-year. We activated a 12th unit mid quarter up from 11 units in Q4 and eight units a year ago. Our consolidation strategy in this sector is paying good dividends for us and we believe we’re the leading player overall in North America in this business line with a particular focus on the growing edge of the market. In U.S. fracturing, as we noted earlier, the service line is negatively impacted by shifting client schedules related to drilling delays and commodity price pressures, which also resulted in lower levels of proppant pump. With these changes coming at the start of the year, we are unable to secure sufficient spot work for these crews resulting in lower revenues relative to the fourth quarter. Our frac revenues of 49.3 million were roughly half the level we recorded in our Q4 2022, but essentially flat on a year-over-year basis. U.S. fracturing contributed to 55% of revenue – segment revenues in this quarter down from 68% a year ago. On the margin side, additional sustained capital and maintenance expense was deployed during the quarter to improve efficiencies and reliability of the fracturing equipment. However, the lower utilization negatively impacted the U.S. segment’s adjusted EBITDA margins. On a percentage basis, U.S. adjusted EBITDA was 5.4% compared to 21% in Q4 and 13.5% a year ago. Turning to our balance sheet and cash flow, we have more good news to report. Our net debt was reduced to 133 million at the end of the quarter from roughly 142 million at the end of Q4, and is down from 214 million a year ago, an approvement of over 80 million. Measured against a trailing 12-months adjusted EBITDA net debt has fallen 2.6 times versus 0.7 times one quarter ago. For context, about 18 months ago, this ratio was over three times. Going further back since 2018, the company has paid down roughly $180 million of debt showing remarkable progress on our balance sheet. We generated free cash flow at 17 million in the quarter, while on a trailing-12 basis, free cash flow has been over a 100 million. Notwithstanding these high free cash flow levels, we continue to invest in our fleet to keep it safe, modern, and relevant to our clients. We remind investors that as of the year in 2022, STEP had the best long-term track record among Canadian based track and coiled tubing companies of spending at least as much in gross CapEx as its long-term depreciation of major assets. This matching is important to preserving long-term fleet quality and occurred despite some exceptionally lean years in 2016 to 2021. We also compare very favorably on this metric in the North American pressure pumping space. Our capital budget was adjusted to 98.9 million, down from the 103 million that we had previously approved to reflect the change in fluid end treatment. 51 million of this is allocated towards sustaining capital and 48 million is allocated towards optimization capital, which is generally spent on projects that are expected to bring incremental margin from improved reliability and efficiency. In terms of our current spend, we’ve finished upgrading eight of the 16 pumps on our Canadian Tier 4 dual-fuel conversion, and we anticipate this being completed on schedule by the end of June. The first pumps are already in the field that are producing excellent results. Finally, EPS was $0.26 diluted compared to $0.23 in Q4 and $0.13 a year ago, building on a trend of five solid net income quarters. Our latest book value for shares increased to 4.55 from 4.27 at the year end, and versus 2.71 a year ago, giving full year accretion to equity holders of 140 million or a $1.84 a share. With that, I’ll turn it over to Steve for some remarks on our strategy and outlook.
Steve Glanville: Yes, thanks Klaas. With another solid quarter behind us, this is a good place to reiterate that we think the best business model in fracturing and coiled tubing is a North American focused one that is likely to be the most beneficial combination for equity investors going forward. Interestingly, the year 2023 is shaping up to be one where there’s probably a bit more confidence in the Canadian energy market than of the U.S., due to the onset of activity related to LNG Canada, as well as the liquids content of a lot of Canadian natural gas production. Despite the heavy pullback and benchmark U.S. natural gas prices, many Canadian natural gas producers are still profitable with all the drilling and completion efficiencies gained in the past few years. Strong E&P balance sheets are common to both countries right now, but Canada looks a bit stronger to us industry wide. However, when we look out to 2024 and beyond, we think the visibility is overwhelmingly tilted towards the U.S. relatively speaking. The rate at which the U.S. has established itself as a global LNG powerhouse is truly remarkable. Of course, this is an opportunity that Canada had as well, but we did not have the political leadership in the country to see the global benefits that come with producing Canadian natural gas that could otherwise displace the need for coal plants in developing countries such as China [ph]. This is also staggering loss of wealth long term for this country, and every Canadian should know that. However, we have adjusted the opportunity set around us and are carefully growing our exposure to the U.S. LNG buildout, which will take place principally along the southern U.S. and gas play such as the Haysville and also the oil focused Permian and Eagle Ford plays. It may be a surprise to some, but the relative portion of natural gas in the production stream for these areas is growing and they will increasingly be known for their natural gas upside. We have an ultradeep capacity coiled tubing business with a Permian focus, so we check that box. We have a U.S. fraction business that is exclusively in the Permian, and we plan to make both businesses – business lines larger over time. And in short, we like our U.S. strategy. Another area where STEP differentiates itself in terms of strategy is our last mile logistics. We haul an overwhelmingly large amount of our clients’ profit needs, especially in Canada, which generates extra margin for us because we do it so proficiently. We have an outstanding team of individuals and a fleet of specialized assets that unburdens our clients from managing key logistics in their business. We will continue to invest in this differentiated business unit as trucking bottlenecks will continue to persist in our business. I want to finish with an update on our outlook. Starting in Canada, we have aligned ourselves with a Canadian client base that recognizes the advantages of operating in the second quarter, and we are seeing good utilization so far in our fracturing service line, particularly for the larger Montney, Duvernay size crews. So far, the wildfires in Northwestern Alberta have not impacted our operations. But we are monitoring the situation carefully and our hearts go out to all the people in the region affected as well as the firefighting crews and other emergency personnel who put their lives on the line to help everyone. STEP’s smaller fracturing crew, our fifth one is more susceptible to road bans due to the typical spring breakup conditions in the area in which it operates, which will limit its activity until later in May. Coiled tubing is also more impacted by spring breakup conditions, which will result in a moderated utilization in that service line until mid in the quarter. This is all very typical because of road restrictions for overweight loads. Moving to the back of the year, visibility of solid with steady utilization anticipated across the company’s core client group in both service lines. We have won some major projects already, which is filling up the calendar very nicely. Another way to look at it is by assessing the size of the current RFP or request for proposal season. This activity is larger than we are expecting, so the utilization looks solid for the back half of the year. I will reiterate that spending in the Montney is clearly on the rise and that LNG Canada project is the main reason for this increased activity. In the U.S., we are seeing considerably higher utilization within our fracturing service line in the second quarter, the strengthening of WTI oil prices into that $70 to $80 barrel range, seems to provide a support to activity, but the ongoing weakness in the natural gas price will remain a limiting factor. As a result, we have deferred our plan to add a fourth fracturing crew until the market conditions can support additional capacity. Coiled tubing expected to remain steady with some impact from spring breakup conditions expected in the northern areas of our business. We are running 12 units now, so that is great progress for us. Overall, I would say the utilization on STEP’s fracturing and coiled tubing fleets is expected to remain steady through the second half of the year. It’s not quite the heated market of 2022, but it is a busy market and the benefit to E&P companies is that some key material costs are starting to roll over, such as casing costs and other raw material product prices. Before I turn the call back to the operator, I want to close by saying how proud I am of what we’ve accomplished together at STEP in the first quarter. But was yet another quarter where a complete team effort delivers strong results for our clients and shareholders. I am privileged to work with a team like this. Operator, will you please take any questions?
Operator: Thank you. [Operator Instructions] Your first question comes from Cole Pereira with Stifel. Please go ahead.
Cole Pereira: Hi, good morning, everyone. On the U.S. side, can you just talk about if you’ve made any changes there in terms of maybe some personnel, aligned yourself with different customers, et cetera?
Steve Glanville: Yes, Cole. Steve here and good morning. Absolutely, we’ve – it’s funny, as we went through kind of Q1, our client base that we had was mostly smaller private companies that we had worked with primarily in 2022. So their programs were quite robust when oil prices were called about a $100 to $110. As we saw into the quarter in Q1 with the decrease in WTI and of course the decrease in gas prices, these private operators became a little bit more conservative on their CapEx. So hence we’ve aligned ourselves with some larger clients in the Permian, and that’s turned out favorably for our business.
Cole Pereira: Got it. Thanks. And thinking about Q3 in Canada, you made a few comments, but can you maybe make some comparisons to how you see the quarter evolving maybe specifically for the frac business compared to Q1 and compared to Q3 of last year?
Steve Glanville: Yes, I mean, the last week, I guess, Cole, with these wildfires, there has been, as I’ve mentioned, we hadn’t been affected a whole bunch as we were kind of in some gaps in our schedule due to breakup. But I really think, the operations will kind of get back to normal, call it next week. And that could create a fairly tight situation for Q3. We – obviously, we haven’t lost any work. It’s more – it’s kind of as operators want to complete these walls, it could create a little bit of a bottleneck going into Q3 and should really produce a very, very strong Q3 for the Canadian business unit.
Cole Pereira: Got it. Okay. That’s all from me. Thanks. I’ll turn it back.
Operator: Your next question comes from John Gibson with BMO Capital Markets. Please go ahead.
John Gibson: Good morning. Thanks for taking that question. First on the U.S. market. Obviously, it’s still challenging on the pressure pumping side. I’m just wondering how your competitors have been acting with some of the gas related completion crews [ph] down. Are they moving fleet, some of the oil regions or has – have you seen signs of competitors’ parking equipment?
Steve Glanville: Yes, good morning, John. We’ve – I would say in Q1, we saw some fleets move from the Haynesville into the Permian. And which of course created a bit of a kind of a pricing war for the quarter. Since then a lot of fleets have been, well, some fleets have been parked. I know a lot of our larger competitors are not playing that price battle, which is beneficial for everyone. And so we see less fleets. I think the latest report was, call it less than 290 fleets that are active in the U.S. And so I do believe that’s created more stable market. Yes, we think our intel shows that about 10 fleets have been laid down, John, and that’s kind of, those are active fleets as we see some of our competitors are consolidating a few fleets here and there. And then there’s also the ones that potentially would’ve been incremental. Ours would’ve been one of them. And as you see some of those new fleets that are coming out, they’re being framed much more as replacement fleets versus new one, versus incremental. There’s no hedging – any going on anymore there. It’s just straight replacement.
John Gibson: Got it. Thanks.
Steve Glanville: Thank you so much for responding.
John Gibson: Okay, great. I’ll ask sort of the same question for Canada. I mean, obviously activities [ph] are very robust. Have you seen any more signs of competitors moving equipment into Canada ahead of to the second half?
Steve Glanville: Yes, we don’t see that. Of course, there was – we had made notion in Q4 there was an added fleet in the quarter, and that created an oversupply situation and we saw that balanced out in Q1. But as we look into the kind of the back half of the year, we see it being more of a balanced market in Canada and really there’s the economics to stand up in other frac fleet for spot work does not make sense. And so we’ve been very disciplined with that and we don’t believe that there’s room for another frac fleet in Canada, a large one that is.
John Gibson: Okay, great. And last one for me. Do you think there’s any ability to push pricing in Canada later 2023 or early 2024, just based on where things are kind of trending right now?
Steve Glanville: I mean, we think that there’s some opportunity perhaps in kind of the back half of the year. And I guess both Klaas and I get pretty excited about Q1 of 2024. We believe that’s going to be an extremely tight market. As I mentioned earlier is the LNG ramp up of activity and the Blueberry River First Nation agreement have been – has been resolved. We’re seeing a very, very large increase in well permits in BC. And so that will create some tightness and hopefully give us some ability to move prices.
John Gibson: Great. Actually, if don’t mind, I’ll ask one more. You talked about maybe growing certain business lines particularly in the U.S. [Ph] Could you maybe rank where you priorities lay in terms of growing whether it be adding more frac equipment in the U.S. via M&A coiled tubing or even in Canada?
Steve Glanville: I’ll just say all of the above, John. We get to look at every opportunity and we – as I highlighted, our balance sheets in great strength. But we would only make that acquisition if it makes sense for us. We have a team that has shown the capabilities of running a great business. And I think there are some opportunities that we might see ourselves face with to make some great decisions.
John Gibson: Got it. Thanks. So I’ll turn it back.
Operator: Your next question comes from Keith Mackey with RBC Capital Markets. Please go ahead.
Keith Mackey: Hi, good morning. Thanks for taking my questions. Good to see the Tier 4 equipment starting to make its way out into the field in Canada. Now, the pricing on that work you mentioned in the release in September is linked to commodity prices and includes inflation adjustment mechanisms. Commodity prices have kind of come down since that announcement. So like if the current commodity prices hold, what impact will this have on the profitability of that equipment relative to your initial expectations? You could even say relative to current margins, if that’s an easier way to way to describe it.
Klaas Deemter: Yes, the economics that we sketched out for that Tier 4 project, it anticipates some fluctuations in commodity prices, Keith. So we’re still comfortable with our payback period that we quoted earlier, sub three years.
Keith Mackey: Got it. Okay. Makes sense. And just to go back to the U.S. and the clients you’re working for, can you just run sort of through the three fleets you have working, are they each working for a dedicated client through the rest of the year? Or what is the nature of that work? Is some of them still in the spot market?
Steve Glanville: Yes, I would answer it, Keith. We’ve obviously aligned ourselves with clients that have a lot larger scope programs that are looking more years out. And so we’ve been really successful with that. Our operation performance since we had some time in Q1 to really upgrade our fleet has shown great results for the month of April. And so we’ve been – I would say right now, we are basically booked for Q2. And we’re looking very strong for the back half of the year with some major clients. It’s sort of fluid right now looking at the back half with a number of RFPs that are there. But we feel we’re in great shape with some larger clients.
Keith Mackey: Perfect. That’s it for me. Thanks very much.
Steve Glanville: Thanks, Keith.
Operator: Your next question comes from John Daniel with Daniel Energy Partners. Please go ahead.
John Daniel: Hey, all. Thanks for including me. I guess Steve, the first question I’ve got is the – I would assume you’ll continue the – what I’ll call the fleet modernization program end of 2024, 2025. Do you think that would come at a similar pace, a more aggressive pace, just thoughts on that?
Steve Glanville: Yes, good question. John, we’ve obviously look at a – the reason why we entered into that Tier 4 agreement with a good client in Canada was it allowed us to obviously refurbish a fleet, an aging fleet that we had just the one crew. And we look at our life cycles of our engines. We are not going to basically retire an engine with 50% more life on it. So we’re going to continue doing the invest into we believe Tier 4, we’re seeing amazing substitution results with our first eight pumps that we have working on that contract. And we’re seeing from a savings perspective, the clients are enjoying that absolutely. So up to 85% we’ve been seeing from a substitution percentage standpoint. And so you should expect us to continue to invest in that technology. We have 80,000 horsepower in the U.S. that is Tier 4, and we are working with a company right now that has a very, very similar system on a direct injection to convert that fleet. So that is priority right now for us. And we expect to have that fleet on dual fuel by the end of this year or partially by end of this year.
John Daniel: And this might be too much of a micro type question. But it seems like some of the larger U.S. frac companies are likely to moderate CapEx spend, at least with respect to the Tier 4 DGB conversions as they pivot to other solutions. I’m curious if you think you’ll see costs and availability of the Tier 4 build fuel solutions moderate in the 2024, 2025?
Steve Glanville: That’s a great question. I mean, we’ve been obviously working with Caterpillar with this upgrade and they’re quoting us kind of 12 months to 14 months for a new engine right now. So I don’t know if that bottleneck will ease it might, John, but I believe we’re probably a year away from that.
John Daniel: Okay.
Klaas Deemter: I think that’s interesting, John. If you look at the U.S. market in particular two out of every new – two out of every three new fleets being built is electric. And I should see kind of that the continuing evolution of the industry. Tier 4 seems to be a bit of a bridge to that electric option now, electric getting right for everybody, not for every client. So there’s always going to be room for Tier 4, and there’s always going to be room actually for some people as well. But this is something that we keep our eye on and wanting to make sure that we provide the best solution for our clients.
John Daniel: Okay. That’s all I have. Thanks for including me guys.
Steve Glanville: Thanks.
Operator: [Operator Instructions] Your next question comes from Waqar Syed with ATB. Please go ahead.
Waqar Syed: Thank you. Steve, I just wanted to probe a little bit more on the pricing trends in the U.S. I believe in Q1 spot had softened maybe about 10% to 15% in the Permian. And you made a comment that pricing has since recovered into Q2. Could you maybe quantify that, like how much of that is back? Are you back to the prices that you were seeing prior to that softness that emerged?
Steve Glanville: It’s a bit over all over the math, Waqar, depending on which client that you’re working for. We’re definitely seeing strengthening prices from Q1. I’m – it’s not back to the levels that we want it to be at yet. I would say kind of Q3 2022 would’ve been kind of peak pricing for our business and we need to get back to that. We’re probably 10 points off of that currently today. But as I talked about and Klaas mentions with some retirements of fleets and some discipline from some key competitors. I don’t think it would take much for it to kind of hold in place and have the ability to kind of raise prices going into the back half of the year.
Klaas Deemter: The industry is a bit scrambling Waqar in Q1. We cut around that period, mid Q1. But it’s recovered, like Steve said, there’s been fleets that have been parked. So we’re doing better. And the tradeoff that we’re looking for now is we would give up a little bit of pricing in exchange for high utilization and that model will give good results as well.
Waqar Syed: And your contracts right now for the three fleets, are they on spot now or they’ve become a lot more, obviously, looks like it’s with dedicated customers. But pricing is, you have good visibility into pricing for second half.
Steve Glanville: Yes, we have a number of RFPs that we’re hoping to hear shortly for the back half of the year with a couple fleets or one fleet is fairly tied up for the rest year at good prices. So we’re really confident Waqar and just having those fleets locked up for the whole year.
Waqar Syed: Now, there has been – there is some debate right now about where the U.S. rig activity trench could be and that some of your larger competitors have been thinking about 30 rig to 40 rig decline. And now with the – some of the large drilling contractor is coming out with their guidance after the pumpers that reported, it looks like it could be between 50 rig to 80 rig decline that could meet to have a more meaningful impact on pumping demand. Now, within that debate like the – there’s big debate going on the pumping outlook for second half. Where do you stand right now on that?
Steve Glanville: We definitely see a bit of a – obviously, the rig count has dropped. We’re keeping an eye on that all the time. But when you look at the Permian, it’s been really robust through these commodity cycles. We’re positioned extremely well there. I don’t see a rig count dropping a whole bunch in the Permian, even when oil was at $60, $65. There wasn’t a lot of rigs being parked. I think the question may be Waqar and something that I’m sure you guys are thinking about is will these operators drill their DUC inventory. And that was what we saw in call it 2019 timeframe that the DUCs were growing. We haven’t seen that. It’s sort of just in time fracking going on in the Permian, but that would be something to kind of keep an eye on. Like I said, we haven’t seen anything yet on DUC inventory growing.
Waqar Syed: Okay. And then just one last question, you mentioned just to do, due to the e-fleet, do you think that from your perspective, the next new generation equipment, is that likely to be more e-fleet or a Tier 4?
Steve Glanville: We like the electric option. It’s obviously quite capital intensive compared to just up refurbishing an existing fleet. So I know our sales team has been working hard at looking at entering into an agreement like what we’ve done with our Canadian upgrades. So that would be something that makes sense for us. It’s only based on a long-term agreement that we would pull a trigger on spending capital.
Waqar Syed: Okay. Well, thank you very much. Appreciate the color.
Steve Glanville: Thanks, Waqar.
Operator: There are no further questions at this time. Please proceed.
Steve Glanville: Thank you very much everyone for joining our Q1 conference call. And if you have any further questions, don’t be afraid to reach out. We have a website on – or on our website we have Investor Relations’ email address. Thank you very much.
Operator: Thank you. Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and asked that you please disconnect your lines.